Operator: Good day, everyone, and welcome to the Eastman Chemical Company Second Quarter Earnings Conference Call. Today's conference is being recorded. This call is being broadcast live on the Eastman's website at www.eastman.com. We will now turn the call over to Mr. Greg Riddle of Eastman Chemical Company Investor Relations. Mr. Riddle, please go ahead, sir.
Greg Riddle - Director of Investor Relations: Okay. Thanks, Rufus, and good morning everyone and thank you for joining us. On the call with me today are Brian Ferguson, Chairman and CEO; Rich Lorraine, Senior Vice President and Chief Financial Officer; Curt Espeland, Vice President, Finance; and Marie Wilson, Manager, Investor Relations. Before we begin, I'll cover two items. First, during this call you will hear certain forward-looking statements concerning our plans and expectations for the third quarter and full year 2008 and for 2009. Actual results could differ materially from our plans and expectations. Certain factors related to future expectations are or will be detailed in the company's second quarter 2008 financial results news release, on our website, and in our filings with the Securities and Exchange Commission, including the Form 10-K filed for 2007 and the Form 10-Q to be filed for second quarter 2008. Second, our comments today will reference non-GAAP financial measures such as earnings per share and operating earnings that exclude restructuring-related items. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures, including a description of the restructuring related items, are available in our second quarter 2008 financial results news release and the tables accompanying the news release. With that, I'll turn the call over to Brian.
J. Brian Ferguson - Chairman and Chief Executive Officer: And good morning to everyone. Thanks for being with us. Last night, we announced earnings of $1.53 per share for the second quarter of 2008. The GAAP earnings were a few pennies lower due to restructuring-related chargers that Rich will cover in his comments. Both for second quarter and through six months, our EPS is up over last year 16% and 20% respectively. And given the current economic and raw material and energy environment, the increase is a testament to our global geographic profile and diverse portfolio of products. Sales revenue increased by 4%, as we continue to work hard to offset sharp increases in raw material and energy costs with higher selling prices. If you disregard the contract, ethylene, and polymer intermediate sales related to recent divestures, our corporate revenue increased by 8% as higher selling prices more than offset our 4% decline in sales volume. The volume decline was most significant in our Performance Polymer and PCI segments, both of which were impacted by restructuring actions we have taken. Gross profit dollars, excluding accelerated depreciation, improved slightly in the second quarter compared with the year ago period. And this is despite an approximately $200 million year-over-year increase in raw material and energy costs. Year-to-date, raw material and energy costs were up about $350 million. This is a clear indication that we are a different company today than we were a few years ago. And that means we have experienced raw material increases that were more than what we experienced with Katrina, and still had very good results. The ongoing operating margin for the continuing businesses was about 10% in the quarter and this is in line with our goal of maintaining our operating margin at 10%. We also had a tax benefit during the quarter, which I'll talk more about in a few minutes. Looking at the second quarter and our first half, we are clearly benefiting from all the actions we have taken over the last several years to improve our product portfolio and our profitability and these changes have positioned us to weather the challenging business environment that we currently face. And moving on to the segment highlights, beginning with Fibers. Fibers had another terrific quarter with operating earnings of $62 million. Year-over-year, revenue was up 9%, primarily due to higher selling prices. Looking at our volumes, we had an increase in acetate tow volume, while acetyl chemicals volume was down. And that's a major reason why our profitability is up year-over-year. After a great first half with 25% operating margins, Fibers is on track for full year 2008 earnings to be slightly better than 2007, even though raw material and energy costs are expected to continue to increase in the second half of this year. Next is CASPI. Despite a very difficult economic and raw material environment, CASPI came through with a solid second quarter of $51 million in operating earnings. Revenue was up 10%, mostly due to higher prices needed to offset much higher raw material and energy costs. In particular; propane, propylene and adhesive materials like crude tall oil, piperylene and pygas were up. Margins have been challenged, particularly in specialty product lines as raw materials have continued their rapid increase. For all products, we remain focused on raising prices needed to offset the higher raw material and energy prices. As we look at the second half of this year, we expect CASPI will continue to benefit from geographic and market diversity. And we are going to have to work hard to catch up to continued increases in raw material and energy costs. Performance Chemicals and Intermediate is next and they once again delivered a very solid quarter. Operating earnings were $58 million, slightly below the year ago period. Sales revenues increased... excuse me, sales revenue, excluding contract ethylene sales, increased by 8% as higher selling prices more than offset lower sales volume. Sales volume was down 8% as the cracker we shutdown in the fourth quarter limits the amount of bulk olefins we can produce and sell. Looking forward, given the continued pressures from raw material and energy costs, we expect earnings to decline sequentially, but remain strong. Turning next to Specialty Plastics, sales revenue increased by 17%, volume was up 8%, as we benefited from continued polyester growth and growth for cellulose esters used in LCD screens. We also had higher selling prices and we benefited from a strong Euro. Operating earnings for Specialty Plastics were down year-over-year. This is primarily due to higher raw materials and energy costs, particularly for paraxylene. As oil and gasoline prices have gone up to historic levels, they have brought paraxylene prices with them. In the second quarter, paraxylene prices increased by 20% compared with the first quarter. This is very difficult for any business to recover quickly and particularly difficult for a specialty business. As a result, margins were squeezed in the second quarter. Given expectations for oil prices in the second half of this year, we expect paraxylene prices will continue to pose a challenge. Turning now to Performance Polymers, in the second quarter, we once again made solid progress improving the profitability of our PET business. With $6 million of operating earnings in the second quarter, our Performance Polymers segment was profitable for the first half of the year, which is consistent with the guidance we gave you in April. We have now completed many of the cost improvement actions we said we would take to improve profitability in this business, including building a new PET manufacturing facility based on our IntegRex technology and that continues to exceed our expectations; shutting down 400,000 metrics tons of older higher cost conventional PET capacity, shutting down our higher cost DMT intermediates capacity and expanding our lower cost PTA intermediates, removing approximately $30 million in annual costs from our South Carolina site, and divesting all of our PET and PTA capacity outside the U.S. The one remaining key milestone for improving the profitability of out PET business is the 50% debottleneck of the IntegRex facility which we will begin early in the fourth quarter. I'll also remain you that the current environment for PET in the U.S. is difficult, primarily related to the high price of paraxylene. However, we continue to do everything we can to offset raw material costs, including raising prices to preserve margin of our maintaining volume. Looking at our regional performance, our revenue in the second quarter and for the first half of 2008 was about 60% in North America and about 40% outside of North America. And once again, our earnings were closer to 50% in North America and 50% outside North America. This is consistent with how our earnings were distributed in 2007 and it's an indication that we continue to benefit from the relatively higher profitability of our sales outside of North America. Looking at North America, the second quarter revenues increased by 4% and excluding contract sales revenue I mentioned earlier, North American revenues increased by 2%. Sales volume was down 10% with the decline in all segments except Specialty Plastics. Operating earnings declined year-over-year, primarily in the CASPI and Specialty Plastics segments. In Asia-Pacific, revenue increased by 23% due to higher selling prices and increased sales volume. The higher sales volume was primarily in Fibers, CASPI and Specialty Plastics. Operating earnings increased, particularly in Fibers and Specialty Plastics. Asia-Pacific remained our second largest region at just under 20% of our overall revenue. Looking forward, we are currently experiencing an outage at our Singapore facility due to an inability to receive a key raw material from a major supplier. We expect this will have a modest impact on results for PCI and CASPI in the third quarter. In Europe, revenue increased by 11%, driven by the continued strong euro versus the dollar, and increased sales volume. The higher sales volume was primarily in PCI. Profitability in Europe increased slightly with improvements in PCI and Fibers. Lastly, excluding divested PET product lines in Latin America, Latin American revenue increased by 23% for the quarter, as volumes increased throughout the rest of the company. Now going to the outlook for the third quarter, the current business conditions are characterized by volatility and uncertainty. We are expecting costs for raw materials and energy to continue to rise in this quarter. Also, we will continue to work to implement, price increases needed to maintain our margins. Economics conditions in the U.S. are soft. Globally they seem to be holding up so far. As we have for the past several months and years, we expect to continue to benefit from our global geographic profile and our diverse product portfolio. Putting all these together, we expect third quarter 2008 earning per share from continuing operations to be similar to third quarter 2007 EPS from continuing operations, excluding items related to ongoing strategic actions. Lastly, let me conclude with a few remarks about our corporate strategy. Starting with our industrial gasification initiative, I am sure you all noticed that the effective corporate tax rate for the company was 25% in the second quarter. This is well below the 34% rate we had previously estimated for the quarter and for the year. The primary reason is the tax rate... excuse me, the initial benefit we expect from a $130 million investment tax credit for our Beaumont, Texas, industrial gasification project. You may recall, we first announced that we had been rewarded a federal investment tax credit in late 2006 when the gasification project was to be located on our Longview site. With the change in the project's location to Beaumont, we have been working with Congress, the Department of Energy and the IRS to have this credit applied to the Beaumont project. And we are very appreciative of the significant cooperation we have received from all those agencies. On the basis of that cooperation, new federal legislation enacted during the second quarter gives us belief and confident that we can transfer that tax credit to our Beaumont project. So, therefore, we are projecting our 2008 effective tax rate to be approximately 30%. This credit is based on our ongoing capital spending for the Beaumont project. So the second quarter benefit catches us up through the first half of 2008 and we expect to continue to benefit from this credit on a quarterly basis for the next couple of years, as we go forward with this project. And the benefit actually increases beyond 2008, consistent with our capital spending on this project. We are on track on our other projects milestones, including completing the front-end engineering and design efforts in the second half of this year. We are finalizing input and output contracts. We're progressing on obtaining the project financing. So, the gasification project is moving ahead. Next, we continue to make progress on our Asia-Pacific growth option for Fibers and we expect we will give you more detail on this before the end of the year. We have broken ground on our new 30,000 metric ton Tritan copolyester facility and expect that will come on line in early 2010. We continue to expect we will add additional capacity in that product given a very strong response from customers. Now, a broad perspective, just last week, I with the entire executive team reviewed plans for next year and for many years going forward. We looked at very different energy and economic scenarios, both high and low. And after that review, we remain very confident in the guidance I gave you in January that our earnings per share will be 10% to 15% higher in 2009 compared with 2008. Lastly, as you may have seen a few weeks ago, we announced some significant management changes and I would like to add a few comments to what was included in the news release. Rather then re-list all of the changes, I'd say that we are very fortunate to have the caliber of people that we do have to take these critical roles. I have total confidence in their ability to lead in their respective areas and to deliver on the aggressive growth initiatives that we have for this company. On the call with me this morning is someone many of you will get a chance to meet shortly and get to know a lot better, Mr. Curt Espeland, who will take over as Chief Financial Officer in September. Say hello, Curt.
Curtis E. Espeland - Vice President, Finance: Good morning.
J. Brian Ferguson - Chairman and Chief Executive Officer: Curt has been with Eastman for over 10 years in a number of different roles and I'm compliment he'll do fantastic job. Finally, I'd like to also acknowledge my friend Rich Lorraine. This will be the last investor conference call for Rich. Rich has been with me in a number of foxholes and we've fought a lot of wars together over the last five years. He has made a tremendous contribution to Eastman's success over those five years. He is a quality guy. He is really going to be missed and we wish him nothing but happiness and success in his future. With that, I'll turn the call over to him.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Good morning, everyone. Thank you, Brian, for those kind words. My time here at Eastman has certainly been challenging, but always exciting. I am really proud of what we've accomplished as a company and where we are as compared to five years ago. I am looking forward to listening-in on these calls from the other side of the table, the investor side of the table, hearing about the growth in the businesses and the strategic initiatives delivering results. But for today now, let me come back around to the management side. This was a good quarter with solid operating results in the face of those strong headwinds. We benefited from the tax item going our way, and let me just hit a couple of highlights in our results for the second quarter. From just the first to the second quarter of this year, raw materials and energy were up about $100 million. And since the end of 2007, the increase is about $125 million. As Brian said, our business people have done a great job working through what you can only assume were very tough negotiations on a customer by customer basis, and ended up covering about 70% of that second quarter 2008 raw material increase through pricing actions. Given this cost environment, there is additional work still going on. Switching gears from pricing, Brian described the investment tax credit in support of TXE, our Beaumont project. We recorded $12 million of this credit in the second quarter, which improved earnings by $0.15 per share. Going forward, we project the benefit from this tax credit will continue with our investment in the Beaumont project growth. I'll get into a bit more detail on the tax credit in a couple of minutes. I'd like to return now to my usual agenda, cover the restructuring-related items, cash flows, net debt, interest expense, and finally circle back to the tax rate. Under restructuring area, there weren't any major restructuring events in the second quarter, just a couple of minor items that totaled about $0.05 per share. A bit of color around those. We recorded asset impairment and restructuring items of $3 million and also we recognized $3 million in accelerated depreciation. As we've discussed in the past, both of these are related to the cracker shutdowns at our Longview facility and the work being done around the transformation of the PET assets in South Carolina. With the $4 million charge we project for the second half of this year, we'll complete the accelerated depreciation adjustments for both on those sites. Moving over to cash flow, we generated $132 million of cash from operations during the second quarter, bringing us in to the black or positive cash of $79 million for the first half. That compares to $165 million and $99 million generated in the same periods of 2007. The lower level of cash generated through the first half is primarily driven by the increased inventory value and the accounts receivable value related to the higher raw materials costs and the pricing we've pushed through to recover them. We do expect our second half operating cash flow to strengthen. That's typical of our seasonal pattern. We normally release cash from working capital as we go through the second half. On uses of cash, our capital expenditures totaled $146 million in the second quarter and $278 million for the first half. That's compared to $112 million in the same quarter last year and $198 million in the first half of last year. That pretty much leaves us on track for capital expenditures to be above $600 million for the year as we continue going forward with our key initiatives. Just to tick them off again, just to remind everybody, we are going to start that debottleneck of the IntegRex facility in the fourth quarter to add 50% additional capacity there. We are going to see increased expenditures on our gasification project now that we are the 100% owner of TXE. We've got the capacity additions going on for cellulose triacetate for LCD screens, acetate tow in the UK which we will be finishing up soon, and we have started the Eastman Tritan copolyester lab construction. And finally, we will be continuing to fund improvements to increase efficiencies and invest in reliability throughout the company. As I highlighted on the April call, we also paid down some debt in the quarter. We repaid $72 million in notes that matured during the quarter and we also paid down a portion of our euro credit facility with part of the cash proceeds from the European asset sales and that was approximately US$100 million. On net debt, total borrowing less cash, we ended the quarter with net debt of $878 million about $160 million higher than the year end '07. The increase in net debt is directly attributable to lower cash balance and that's driven by the share repurchases of about 270 million through the first half of the year and we did see that $80 million of increased capital spending this year. With that increase, we still have a net debt of total cap in a pretty good place at 30%. Looking at interest expense, our net interest expense was $18 million for the second quarter of 2008 and $34 million in the first half. And that's slightly higher than the second quarter and first half of last year. And that's as a result of the lower interest income on invested cash balances. We do expect net interest expense to track slightly higher for the full year compared with last year. And that again driven by lower interest income on... we have got slightly lower interest rates as well as the lower average invested cash balances. Back to the tax situation, our second quarter effective tax rate for continuing operations was 25%, which includes that impacted investment tax credit on our gasification investment. As I look at the tax rate for the full year on a continuing operations basis, including the investment credit, we are projecting it should be around 30% for the full year. Brian discussed gasification investment tax credit in his comments a couple of minutes ago, but let me again just emphasize a few points. First, this is great for our shareholders and we are very pleased with this effective tax rate reduction. The second quarter impact does include some catch up credit for investments made on the Beaumont project before the second quarter... prior to the second quarter, which is why I'm guiding to a 30% rate going forward rather than something lower than that. And ongoing, we obviously plan to use this investment tax credit to the fullest extent possible as we continue to invest in the gasification initiative in Beaumont. So we'll look forward to seeing lower effective tax rates over the next few years. Okay. Back over to you, Greg.
Greg Riddle - Director of Investor Relations: Alright, thanks, Rich. This concludes our prepared remarks. Rufus, we are ready for questions. Question And Answer
Operator: Thank you, sir. Ladies and gentlemen, our question-and-answer session will be conducted electronically. [Operator Instructions] And for our first question we go to Mike Judd with Greenwich Consultants.
Michael Judd - Greenwich Consultants: Yes, good morning.
J. Brian Ferguson - Chairman and Chief Executive Officer: Good morning.
Michael Judd - Greenwich Consultants: Question about the tax rate in the second half of the year. Because the tax rate was around 25% or so in the June quarter, in other words, should we be using a 30% tax rate for each of the quarter or should the September quarter tax rate be slightly higher or lower, how do we balance that out?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Mike, I wish I could give you an exact number on those, but that depends on the pace of capital spending on the Beaumont project. So we're going to have to help you out kind of quarter by quarter as we go forward and give you some advice on that.
Michael Judd - Greenwich Consultants: It is reasonable to expect that it would be higher though than the 30% rate in the September quarter?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: That's a reasonable expectation.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Okay. And then just lastly on the IntegRex capacity expansion or debottlenecking that you guys are doing in the fourth quarter, could you provide a little bit more color? In other words, should we expect that on an operating profit basis that that should be potentially negative because the whole plant is shut down in the December quarter or how does that work out from a logistical as well as financial perspective?
J. Brian Ferguson - Chairman and Chief Executive Officer: Yes, Mike, good question. The typical PET pattern is that their best half of the year is usually the first half of the year, we are done with that. The second half is seasonally slower. We have really high paraxylene costs and we are going to be down for weeks working on that facility. And absorb a lot of the cost to go along with that into the quarterly earnings. So yes, it's... all that hits the PET guys in the second half.
Michael Judd - Greenwich Consultants: Okay. And just as a follow-up to that question. It is difficult looking on a year-over-year basis for comparisons because there has been so much restructuring in that business. And by the way, you guys have done a good job. But could you help us understand sort of what the magnitude of the operating profit loss could be in the December quarter?
J. Brian Ferguson - Chairman and Chief Executive Officer: I am not going... are you talking about in the forth quarter or --?
Michael Judd - Greenwich Consultants: Yes, when you are doing the --
J. Brian Ferguson - Chairman and Chief Executive Officer: No, I am not going to call that one for you. We have a lot of shutdowns that we come and go with constantly in the business. And we never call what individual shutdowns do in terms of the earnings. But what we have done, Mike, is give you the longer view of what kind of turnaround... that's why I went out of my way to describe 2009 in this call.
Michael Judd - Greenwich Consultants: Okay.
J. Brian Ferguson - Chairman and Chief Executive Officer: We talked about in our January timeframe the kind of turnaround we expected, and we said this is a messy year. In this messy year we're tearing things up and it just got messier with historic high raw material and energy costs. But after looking at all of this, we gave you an outlook in January of how much of a turnaround we were going to see. Nearly all of that was driven by the plastics business group, both Specialty Plastics and the PET business. So, by making my comments on 2009, I'm telling you what I think that is going to look like and it was a recognition of your question that it's messier, kind of hard to estimate what's going on.
Michael Judd - Greenwich Consultants: And that's fine. I just wanted to understand... in other words, can you reserve for that turnaround? In other words, a lot of the times when there is plant turnaround, you can basically build than in over the year. Is there something unique or different about this one?
J. Brian Ferguson - Chairman and Chief Executive Officer: We don't do that. Rich, do you want to comment on that?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: We will record that at it's incurred.
Michael Judd - Greenwich Consultants: Okay, thanks for the help.
Operator: And we go next to Jeff Zekauskas with J.P. Morgan.
Jeffrey Zekauskas - J.P. Morgan: Hi, good morning.
J. Brian Ferguson - Chairman and Chief Executive Officer: Good morning, Jeff.
Jeffrey Zekauskas - J.P. Morgan: Can you give us an idea of what's going on in the domestic and global PET market in terms of volumes? It's a little difficult to read the volume effects you've got because, I guess, there are some divestitures in there.
J. Brian Ferguson - Chairman and Chief Executive Officer: Oh, yes. I think what we would do... we would characterize it as a slower growth period where it was growing over 200, may be 250,000 tons a year. This is probably growing less than 200 these days. As far as new capacity additions, we have a little bit from Indorama. We don't know anything may be more than you know about any kind of a future energy expansion because as far as we know, we haven't... they haven't ... we are not aware of the site that they have chosen to build that. So, lacking that, it is hard to estimate when and how they would come on. The market... the operating factors are generally pretty high for the PET industry. But you always have the ability of the agent coming over the top. So, it's... the biggest issue right now is more about paraxylene prices and the ability to move those downstream. We are able to keep the plants running basically full.
Jeffrey Zekauskas - J.P. Morgan: So the overall PET market... has it... why is it seem to be slower this year? Is it thinner walls of the bottles, is it the competition of the Asians versus the U.S.?
J. Brian Ferguson - Chairman and Chief Executive Officer: Yes, I mean, yes. It's also reduced basic demand and in many cases, PET is something of a discretionary luxury. When you are stopping at a gas station and if you just put $100 in you gas tank to keep your SUV running, you buy fewer carbonated soft drinks at the store. So it's a combination of reduced demand. The thin walling that you're describing, especially by the water guys, and you always... whenever there is an arbitrage between Asian raws and U.S. raws, the Asians come in over the top.
Jeffrey Zekauskas - J.P. Morgan: As far as your European business overall, it seems that there was growth in... that is Eastman as a whole, there was growth in the first quarter and contraction in the second. Can you describe what's going on in Europe and what your outlook is for the European business for the remainder of the year?
J. Brian Ferguson - Chairman and Chief Executive Officer: Europe has been... it's not going gangbusters, but it has been fairly steady for us. One of the factors that helps us in Europe is that we have been focusing our growth efforts on some of the Central and Eastern Europe countries that has... and that growth has maybe offset some other softness that could be in some of the other parts of Western Europe. But it has been a pretty steady performer for us. The euro-dollar exchange certainly helps and we're not feeling nervous about it to be... to any degree, Jeff.
Jeffrey Zekauskas - J.P. Morgan: I have a couple of questions for Rich. In terms of the tax credit, does the tax credit apply to moneys that you spent in 2007 as well as 2008?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Yes, there was a very modest spend in 2007 and yes, the current quarter... the second quarter ITC included the benefit of that.
Jeffrey Zekauskas - J.P. Morgan: So, philosophically, why isn't that called out as a non-recurring item? And I don't mean to be adversarial about it, but --
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Jeff, it's just that the 2007 piece is was very small.
Jeffrey Zekauskas - J.P. Morgan: Very small?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Yes, it's really not of any significance.
Jeffrey Zekauskas - J.P. Morgan: Okay. And if you choose not to go ahead with the project, do these credits reverse or do you keep them because this has to do with moneys you've already spent?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Well, that's a kind of... it's a pretty hypothetical question, but yes, if we choose not to go forward with the project, sitting here I assume we'd have to reverse those credits.
Jeffrey Zekauskas - J.P. Morgan: You have to. And what's the relationship between the amount you spend and the credit you get?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: It's a percentage of what we spend and I am certainly not sure I can project spending by quarter going forward and I'm not going to attempt it, but it's 20%.
Jeffrey Zekauskas - J.P. Morgan: It's 20%?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: It's 20% till you reach the full amount of the ITC.
Jeffrey Zekauskas - J.P. Morgan: Okay. What's the full amount of the ITC?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: $130 million.
Jeffrey Zekauskas - J.P. Morgan: $130 million. Okay. Thank you very much.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: You're welcome.
J. Brian Ferguson - Chairman and Chief Executive Officer: By the way, Jeff, it'll take a couple of years to work through that we estimate. So, it's... you're going to see this every quarter for a couple of years or so.
Operator: We go next to Frank Mitsch with BB&T Capital Markets.
Frank Mitsch - BB&T Capital Markets: Good morning and congratulations on your tenure at Eastman and best wishes for the future, Rich.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Well, thank you, Frank. I appreciate it.
Frank Mitsch - BB&T Capital Markets: And more importantly, Rich, now that you are going to be on the investor side and any key difficult questions you'd like me to pose to Brian, by all means shoot be an email and I'll be happy to take that along.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: I have got a direct line to Brian, though.
Frank Mitsch - BB&T Capital Markets: I hope so. Rich, you dialed back share buyback fairly significantly here in the second quarter. Can you talk about the factors behind that and what should we expect going forward?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: I am going to be a little bit coy on that, Frank. We're opportunistic and we're measured in that. And you put a little table out that described it and I'd just say that we are well aware of the remaining authorization and we'll just remain prudent on that going forward.
Frank Mitsch - BB&T Capital Markets: Is it any sort of reaction to the fact that you are now solo on the coal gasification and your spending is going to be a bit higher than perhaps you targeted originally?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: There's a lot factors, Frank. And again, wrapping them all together, I am just going to say we'll continue to be prudent and opportunistic going forward.
J. Brian Ferguson - Chairman and Chief Executive Officer: Yes, but Frank, that's... yes. I mean, obviously when you take on 100% of that project now, yes, that's a piece of it as well.
Frank Mitsch - BB&T Capital Markets: Alright. And then with respect to the taxes, you suggested that '09 would be... I believe what you suggested, and I just want to make sure I heard it correctly that the '09 rates would be lower than the 30% rate. And if that's in fact the case, bigger than a bread basket?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Frank, as I said to Mike, I think you're going to have to be patient with us a little bit as we see what the CapEx schedule, how that's going to fall out. And Curt is going to have to provide you with some guidance on taxes more specifically as we go forward.
Frank Mitsch - BB&T Capital Markets: The context of the question pertains to Brian's assertion that 09' would be 10% to 15% higher than '08. I was just curious as to --
J. Brian Ferguson - Chairman and Chief Executive Officer: That wasn't a tax credit comment, Frank. I was really talking about the basic earnings power of the business.
Frank Mitsch - BB&T Capital Markets: Terrific, terrific.
J. Brian Ferguson - Chairman and Chief Executive Officer: Yes, I knew that was going to come up. Now this wasn't some kind of a tax credit, where [ph] 10% to 15% or better, yes. But it's all coming from tax. Now, that's not the thought that's behind that. This is the basic earnings power to business of 10% to 15%, driven by a much stronger performance in the polymers business group.
Frank Mitsch - BB&T Capital Markets: Alright, terrific. And lastly, Brian, obviously volumes in the U.S. were down. Some of that was portfolio restructuring and some of that was obviously the softening of the economy. Can you talk a little bit about which areas appear to be slower than other areas and which areas you are noticing have started to take a turn downward? Any insights in providing some granularity on that?
J. Brian Ferguson - Chairman and Chief Executive Officer: Sure. And I'm not going to tell you anything you haven't heard 10 times already this quarter. The interesting thing for us probably has been it's not new news for anybody else, but since we have moved our portfolio to more specialty items, the products that got hit both in CASPI and Specialty Plastics were most specialty-oriented. And not surprising, you get to drive prices up as quickly in specialty items as you do commodity items because everybody understands and lives with putting margins on top of raw materials and the commodities. In the specialty, if you drive the price up too fast, the alternative for the customer is usually some different chemical or some different plastic. And once you drive that behavior, it is very hard to recover. So you are always a little cautious with the way you increase prices in the specialty, so you don't drive the customer away to a competing material. And that tension right now in the specialties, that caused most of the dip in both CASPI and Specialty Plastics. We are working our way through it and the customers understand the need for the price increases because they fully understand the environment they are living with. And so we... if the energy and raw material environment starts to stabilize, which it looks like it might be trying to do, then we have an opportunity to catch up here.
Frank Mitsch - BB&T Capital Markets: Okay, thank you.
Operator: We go next to Kevin McCarthy with Banc of America Securities.
Kevin McCarthy - Banc Of America Securities: Yes, Good morning.
J. Brian Ferguson - Chairman and Chief Executive Officer: Good morning.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Good morning.
Kevin McCarthy - Banc Of America Securities: Brian, I think you mentioned that the raw material and energy inflation was about $350 million year-to-date. Can you give us a sense of how much of that you would consider as unrecovered at this point?
J. Brian Ferguson - Chairman and Chief Executive Officer: I think a rough number is that we are about 30% behind the April just because of the inertia, the speed and the magnitude. And we have got 30% on the table that we are probably trying to recover. That's a rough number and that presumes that every thing stays stable from this day forward for the next several months. And if it doesn't then that number will change.
Kevin McCarthy - Banc Of America Securities: So $105 million then?
J. Brian Ferguson - Chairman and Chief Executive Officer: I am not going to put it down to millions of dollars. But, I'm pulling a rough number out of this. We have gotten may be two-thirds or 70% of what's happened and we are working with our customers to see if we can get more.
Kevin McCarthy - Banc Of America Securities: Okay. Then I know as you cited propylene as one of the culprits in terms of inflation, cost inflation in CASPI and PCI. I know you have some propylene coming out of your crackers, but you shut one down. Can you give a sense of what your position in propylene looks like in terms of make versus buy?
J. Brian Ferguson - Chairman and Chief Executive Officer: We've become a bigger net buyer now because as we shut down these crackers that used to make our propylene... well, we were always a purchaser, just as you know. And I am not sure we've ever given you the ratios, but we were always not sure of our propylene we were buying. We become a bigger buyer as we shut down these crackers. So now we are more exposed to propylene prices and how they move. The good news in that story is that by and large the derivatives that we sell that are made from propylene track propylene prices better than they track the propylene prices we have in the crackers. So we had the dilemma when we were making crack propylene that if there is a divergence between what's happening with propane and propylene, we either enjoy or suffer from it. There is really more alignment as we become more exposed to propylene in the margins story. So we are going to continue to grow in that. And it's a healthy percentage. Greg, I'm not sure, we've given anybody a percent of how much of our raw materials come from propylene versus --
Greg Riddle - Director of Investor Relations: Not at this point. I don't have a number in front of me.
J. Brian Ferguson - Chairman and Chief Executive Officer: Yes, but it's a healthy percentage, getting healthier over time. We still make... I'm playing with words now, Kevin. I am not going to tell you.
Kevin McCarthy - Banc Of America Securities: Okay. Finally, Brian, any change in the milestones that you've laid out previously for the industrial gasification project or update there?
J. Brian Ferguson - Chairman and Chief Executive Officer: We are on track to hit the milestones. And then decisions will be made when our milestones are achieved. Next milestone is completion of the feed process. I go through the brief list; the input/output contracts making good progress on those. Those are not going to be the rate determination step in any kind of a progress. Good progress on the permits, very positive progress there. Working through the feed process and of course the biggest deal in the feed process is the CapEx. We all know CapEx is going nutty in any kind of estimate that you're making, whether it's big or small. And we are, every part of company, working through those kind of issues. I'm trying to think what other milestones on gasification I should have discussed.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Just financing, buying and --
J. Brian Ferguson - Chairman and Chief Executive Officer: Financing, that was it.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: And we're making great progress with that.
J. Brian Ferguson - Chairman and Chief Executive Officer: Yes. So on track with all the milestones and when we get through those milestone, that's when we advice you of decisions and actions that we're going to take.
Kevin McCarthy - Banc Of America Securities: Okay, thank you very much.
Operator: We go next to P. J Juvekar with Citi.
Prashant Juvekar - Citigroup: Good morning.
J. Brian Ferguson - Chairman and Chief Executive Officer: Good morning.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Good morning.
Prashant Juvekar - Citigroup: It's good to see that you're going to pay less taxes. But do these tax credits come with any conditions like carbon capture or any other pollution related conditions?
J. Brian Ferguson - Chairman and Chief Executive Officer: Really not. They were part of the Energy Policy Act that was, I believe 2002 or it may have been 2004. But it was essentially for clean coal technologies and there was a competition among many companies and their projects for who would be able to use a allotted money that they had. We wanted $130 million of the lot of moneys. It's a straight investment tax credit against the investments that you make in the project. And I didn't really have much else in a way of strings attached. So, no, we don't have to sign up for an operating burden of some kind that goes along with it.
Prashant Juvekar - Citigroup: Now, clean coal, does that mean carbon capture?
J. Brian Ferguson - Chairman and Chief Executive Officer: The clean coal technology started for us with the isolation of mercury and sulfur, and that was the nature of the qualification. The capability of the capture and sequester was certainly a piece of it. Now, a capability is different than actual doing. The fact that you isolate the CO2 is a separate stream and had the ability to sequester it was the piece of the award. But it wasn't a requirement that we sequester as part of the order.
Prashant Juvekar - Citigroup: That wasn't a requirement, okay.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Yes.
Prashant Juvekar - Citigroup: And then another question on oxos and acetyls. Oxos must be feeling pressure from housing. Can you talk about that? And then in acetyls, your other acetyl competitor in the U.S. sounded very positive. So can you give your outlook on acetyls as well?
J. Brian Ferguson - Chairman and Chief Executive Officer: Yes. The acetyl business continues to be a solid business and we feel good about... we especially feel good about our position and using coal as the raw material for that. And you can see what it does for the Fibers businesses, as an example. Yes, the oxo businesses are stressed by both building construction and autos. And that shows up in both CASPI and PCI. There is a little bit of a supply effect in Asia as a result of a new expansion there. But again, P.J., there are things that don't wreck these businesses. As you see, the kind of softness that we have right now, but there's still pretty solid quarters. And that's again another reason why I gave you a view for 2009 to give you some confidence that we still believe that we're on track for some good growth and we don't think this is bad enough to derail those businesses.
Prashant Juvekar - Citigroup: And for 2009 outlook, you said you stress tested your models with high energy prices, low energy prices. What's your assumption on the economy?
J. Brian Ferguson - Chairman and Chief Executive Officer: We're assuming right now that it's going to rock along with the same kind of softness that we have right now. We're not... we are saying it is not necessarily a lot worse than it is... when I say right now, likely [ph] at this minute. We do the spot look at where we are right now with very soft auto and housing. And we said if this rocks along sideways and doesn't get a lot worse, but nor does it get a lot better, how do we think about that. And then we stress tested if the economy gets a lot worse, what happens to our volumes, what happens to our margins. If it gets a lot better, what happens. We stressed tested both sides of those. It's interesting the way our companies wire these days, there are some countercyclical pieces that kick in. And when one gets worse, another one gets better. And that was a factor in coming to this conclusion.
Prashant Juvekar - Citigroup: And finally, do you care to give us a delta in those stress tests, high versus low?
J. Brian Ferguson - Chairman and Chief Executive Officer: No.
Prashant Juvekar - Citigroup: Okay.
J. Brian Ferguson - Chairman and Chief Executive Officer: I will go this far to say we talked about $60 oil and $200 oil. So there is a range for you. We talked about GDP. We talked about negative... success of negative quarters of significant recession as one. And then of course, you don't need to stress test the high end. You don't have to talk about a great economy. So that will give you some sense of it.
Prashant Juvekar - Citigroup: Okay, thank you.
Operator: We'll go next to Andrew Fineman [ph] with the Iridian Asset Management.
Unidentified Analyst: Thanks. Are you still... this investment tax credit has nothing to do with the carbon credits that you're still working on. Was that correct?
J. Brian Ferguson - Chairman and Chief Executive Officer: That's correct. This is an investment tax credits only.
Unidentified Analyst: So you may get additional incentives for the Beaumont project if you are awarded those carbon tax... carbon credits?
J. Brian Ferguson - Chairman and Chief Executive Officer: The policy story has to unfold there, Andy, and what the U.S. government is going to do relative to capturing carbon and how they are going to charge and credit. And we expect that to unfold in the future. You are kind of assuming that I'm raising a European structure when you say what you said. But as that policy unfolds, we have the ability to potentially take advantage of it. And none of that is... the credit we're talking about today has nothing to do with that.
Unidentified Analyst: Where do we stand on the possibility of another gasification project?
J. Brian Ferguson - Chairman and Chief Executive Officer: We continue to develop projects pleural [ph], domestic and otherwise, and are still very optimistic on being able to do one of those... there are no milestones to report and when we have progress, I'll tell you more, Andy.
Unidentified Analyst: Okay. And the [indiscernible] licensing, we talked a lot about that in the last two calls. I was wondering how that's going and whether that's still --?
J. Brian Ferguson - Chairman and Chief Executive Officer: PET specifically or licensing in general?
Unidentified Analyst: Well, I'm thinking about PET, but I think you also do a little bit in... was it PCI? I don't remember really.
J. Brian Ferguson - Chairman and Chief Executive Officer: Yes, we have an acetic acid license a couple of them. We've had a lot of interest and we continue to be engaged in several negotiations relative to the PET, IntegRex technologies, both to PTA or PET. So we're very encouraged by those discussions. As far as any other licensing, I don't have anything else to report that we are still... we stand by the statements we've made before about there being a lot of interest and we expect that that's going to be a source of revenue in the future for PET.
Unidentified Analyst: So, PET licensing is probably not going to hit your numbers this year?
J. Brian Ferguson - Chairman and Chief Executive Officer: Hard to say. I wouldn't... if you are building a model, I wouldn't... I probably would not put it in there, and it will be a happy surprise if that happens. But I wouldn't put into your model.
Unidentified Analyst: And then finally, the last thing that you said about the full year was that it would be similar to $5.05 from the previous year. And the problem now is, I need to get rid of that statement because having it hang out there along with $1.27 versus $1.27 in the third quarter would mean that your fourth quarter comes in at $0.76 versus $1.27. So, I'd like you to give us some indication that your fourth quarter could at least be close or flat with last year.
J. Brian Ferguson - Chairman and Chief Executive Officer: Well, Andy, you're trying to get me to say more than I am willing to say right now. This is a hard economy to call anything in for a week, much less couple of quarters. While I've done, as I've given you, a forward view for the third quarter, we've given you a general outlook for how we feel about 2009 and that's as much... as much info as I am willing to give because you are asking for things that are just unknowable, Andy.
Unidentified Analyst: Well, I mean, I can hear what you are saying and I appreciate that and I apologize for trying to pin you down, but can I at least get you away from $0.76 versus $1.27? You know what I mean?
J. Brian Ferguson - Chairman and Chief Executive Officer: The time we give the fourth quarter outlook is when we get done with the third quarter, Andy, and I am going to stay with that pattern. But look, we are not going to... we are going to work really hard to make this as good a year as we possibly can, Andy. There is no one... I think when I was talking to you guys in the first quarter, I don't think any of us were talking about $140 oil as the basis or the thesis for the rest of the year. I don't even know what the thesis for the rest of this year ought to be. I think I am taking risks even taking about the third quarter, to be honest with you, because there is so much uncertainty. And so I would feel awkward trying to give you more thoughts on the forth quarter. I think I just got away.
Unidentified Analyst: Aright. Thank you.
Operator: We go next to Gregg Goodnight with UBS.
Gregg Goodnight - UBS: Good morning all and congratulation, Rich.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Thank you, Gregg.
Gregg Goodnight - UBS: Brian, great questions, great answers. I have learned a lot on this. One question I still have is did you mention your... did you give an update for your Asian acetate tow?
J. Brian Ferguson - Chairman and Chief Executive Officer: He was very quick. What I said is that we are on track to tell you what we are going to before the end of the year. It's a good story to tell. I am looking forward to telling it. Got to tell you, but it's just not time yet.
Gregg Goodnight - UBS: Okay, great. Second one, do you, at this point, still believe that the economics going to work out on your Beaumont project where it's readily a bankable deal and you will have no problem financing that?
J. Brian Ferguson - Chairman and Chief Executive Officer: The great news here... the really terrific news is that the basic value proposition that we started investing in to here is holding up and in fact, may be improving some. The basic spread, everybody worries about coal going up and PETCO [ph] going up and all those things are true. But the basic spread between solid hydrocarbon and natural gas continues to hold up and has even expanded a little bit. Detention in all of this, Gregg, is the CapEx costs, which, in my career, I have lived through two capital cycles. So I have lived through booms and busts in capital cycles over my 30 years two times. And when they boom, they get really nutty, and when they bust, they get really attractive. And we are in one of those booms right now. We are at... you don't exactly know what to do to make up some of the numbers. In many cases, we have worked through those numbers already in our company and found our way. Now, we are mid-way, we are only about half way through on that process in gasification. So it's just too early to call. But the really great news is the value proposition holds up and if I read the tea leaves of the future of this country and the future of the world right, this value proposition holds up for a very long time. So we are still very optimistic about this strategy and this whole platform of projects. There is no question, we have to work through our CapEx burden. And the point is we are not going to do something stupid here. We want to... we have a strong belief in us and a great feel for this initiative and we don't want something that we judge may be transient to cause us to do some thing stupid. So, we are going to... I got to play off those two tensions and when we get done with the process we'll tell you how we sorted it out.
Gregg Goodnight - UBS: Outstanding. Last question I had is with the recent run up of propylene pricing and the like, has it changed your outlook or your thinking on potential methanol to propylene process? Has it given extra incentive to maybe take a good hard look at that potential?
J. Brian Ferguson - Chairman and Chief Executive Officer: We are looking at all the derivatives that we can make from the coal gasification process. In that... of course, that one will be included in the mix. We are learning a lot of really interesting things about how to take basic chemicals on to more value-added products using some chemistries, and sometimes those chemistries are cropping up from old past chemistry that people practiced a long time ago. And that one would be a new one. The methanol-propylene is a brand new one. There is some other chemistries and other derivatives that have long proven histories that would compete against that. So, we are balancing and we are looking at all of those and we'll let you know when it's time.
Gregg Goodnight - UBS: Okay. Are you going to have an investor day meeting later this year?
J. Brian Ferguson - Chairman and Chief Executive Officer: Later this year is less likely, we're probably going to push it off into the first couple of months in next year, may be January-February of next year will be a more logical time.
Gregg Goodnight - UBS: Okay, hey, thanks for all these great responses.
J. Brian Ferguson - Chairman and Chief Executive Officer: Thank you.
Operator: For our next question we go to Brian Geiger with Merrill Lynch.
Brian Geiger - Merrill Lynch: How are you doing guys?
J. Brian Ferguson - Chairman and Chief Executive Officer: Hey.
Brian Geiger - Merrill Lynch: I was just curious if you guys had any kind a target debt structure or target debt to EBITDA leverage, and when you plan to get to that level?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: Let me take that one, Brian. What we adhere to in terms of the targets for capital structure is more around bond credit rating. And so we focused on being BBB and really keep track of all the ratios and all the factors that go into that and that's where we'd want to stay.
Brian Geiger - Merrill Lynch: Okay. It's a BBB flat or it's plus minus, some wiggle room there?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: BBB flat would be the right target.
Brian Geiger - Merrill Lynch: Okay, great, thank you very much.
Operator: And for our next question we go to Jeff Zekauskas with J.P. Morgan.
Jeffrey Zekauskas - J.P. Morgan: Thanks for taking my follow-up. So in order to recognize the tax credit for the Beaumont project and because you expect to recognize, I guess, 120 that means that you'll spend 600. That is 20% of 120. And I guess that would be the equity portion. And so if the project is financed at 30%, it's a $2 billion project. Has the Board approved all of this yet?
J. Brian Ferguson - Chairman and Chief Executive Officer: Well, your math is presuming a lot of different things.
Jeffrey Zekauskas - J.P. Morgan: Yes.
J. Brian Ferguson - Chairman and Chief Executive Officer: But your general... the general trust of your question is, we have step-wise approvals with our Board, each step of the way. Right now the expenditures that we are making are in the feed process and at some point we get early delivery of equipment that would be a capital expenditure. Then when you start breaking ground and each of those steps along the way we discussed with Board. We do not have a blanket, we have not asked for and any kind of a blanket of approval to go ahead with this project. This is not just time, it wouldn't be appropriate. Again, the nature of these projects are that you do, these front-end engineering and design initiatives and those define the big expenditures and then you ask for the blanket expenditure. We are not there yet.
Jeffrey Zekauskas - J.P. Morgan: Okay. And then lastly, again for Rich, this is a question of clarification. With the tax credit, this was a tax credit, if I understand that was that originally for Faustina and is now being used for Beaumont.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: No, no. It was originally in our Longview site.
Jeffrey Zekauskas - J.P. Morgan: Longview. And so, is this already... is there a regulatory step that needs to take place for you to use this with certainty or can you use this tax credit with certainty?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: We feel real good about the tax credit right now. It's been through legislation. And so, we feel very confident. And I'd like to clarify one other point, Jeff.
Jeffrey Zekauskas - J.P. Morgan: Sure.
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: On the... yes, about the equity portion of our project. It doesn't matter how we finance the project. The tax credit comes as we spend capital money and it's blind to the source of that money, whether it's the money that's sitting it in our bank today, or money that might come from any other financing source for the company.
Jeffrey Zekauskas - J.P. Morgan: So when you said... thank you, that's helpful. When you said that you are confident, what are you confident about?
Richard A. Lorraine - Senior Vice President and Chief Financial Officer: That big D [ph].
J. Brian Ferguson - Chairman and Chief Executive Officer: We've the regulatory authority to claim the tax rate.
Jeffrey Zekauskas - J.P. Morgan: Okay, good. Alright, thank you very much.
Greg Riddle - Director of Investor Relations: Let's make the next question the last one please.
Operator: And with that, we have no further questions on our roster, ladies and gentlemen. So, Mr. Riddle, I will turn the conference back over to you for any closing remarks.
Greg Riddle - Director of Investor Relations: Alright. Thanks again for joining us this morning. An audio replay of this conference call will be available this afternoon through Friday, August 1st. Have a great day.
Operator: And ladies and gentlemen, this does conclude the Eastman Chemical Company Second Quarter Earnings Conference Call. We do appreciate your participation and you may disconnect at this time.